François-José Bordonado: (Starts Abruptly) Our President and Chief Executive Officer, and Thibault de Tersant, our Senior Executive Vice President and Chief Financial Officer. I would like to welcome you to Dassault Systèmes Second Quarter 2011 Presentation, which is also being webcasted. At the end of the presentation, we’ll take questions from the audience and from participants on the call. Later today, we’ll also hold a conference call. For those participating in the webcast, the presentation will include views which you will not be able to see, but you will, of course, hear the sound of the video or hear the announced comment. Dassault Systèmes financial results are prepared in accordance with IFRS. In addition, we have provided supplemental non-IFRS financial information. Differences between the two are explained in the reconciliation tables included in our press release. Some of the comments we will make during today’s presentation will contain forward-looking statements, which could differ materially from actual results. Please refer to our risk factors in our 2010 Document de référence. Let me now introduce Bernard Charles, President and Chief Executive Officer.
Bernard Charles: Thank you, François-José. Good morning, everyone. So the agenda today is to really have a quick business review on the Q2 2011, the financial highlights that I will share, of course, with Thibault, update the – our objective on – for the full year, and of course, you have lot of additional information in the Appendix. As you may have seen, the – I think we are quite pleased with the result for the second quarter. In the first quarter result, the IBM acquisition was done last year April 1, 2010. The new license, the revenue growth is up 9% in the quarter excluding exchange rate 15%, so year-to-date it’s a nice 21%. And there is a strong dynamic for the new licenses, which we think is an important parameter, of course, at 36% for the quarter. The software growth is also strong at 16%, and the operating margin is, as we planned, at 28%. The EPS is up 10%. So the key element is really new license growth. I think the takeaway is really the balance in the growth between product lines, channels on regions, geographic regions, so it’s well-balanced. Our diversification from a geographic standpoint is working as plan, and I think there is still a lot of potential to do, to do better, but I think we are very pleased with what is going on right now. And we’ve introduced a significant milestone. We are introducing for the second half of this year the – our solution taking advantage of the cloud infrastructure. You have seen the announcement with Amazon a few weeks ago. This is a key milestone because I think it demonstrates, number one, that the Version 6, the V6 architecture is cloud enabled. This architecture is consistent between cloud enterprise servers and clients, so there is a full consistency; not so many softwares in the world where this can be achieved. So we think it’s a very key differentiator. Of course, we are on a start, whole product portfolio are not available and we don’t planned to provide all product portfolios, but we provide – to provide very key products, which we show the value on how cloud can be used, and I will be back on that topic later on. If you look now on the software revenues by product lines, CATIA is up 13% on the quarter, 26% on the first half. ENOVIA with strong growth also, 22%, and other PLM software, 22%; Mainstream 3D 11%; total software added to 16% growth. A very strong new license dynamic for ENOVIA at 49% excluding exchange rate. You have seen that we have announced key customer wins on those – we say even more they’re win back we are replacing existing PLM infrastructure with our infrastructure. So from a channel perspective when you look at our – the way we reach the world through these three channels called the Business Transformation channel, direct engagement with customers. It’s a pleasant 57% of our revenue, up 15% on the quarter. 24% of our total revenue is coming from what we call the indirect PLM channel, Value Solutions, up 18%. On the Professional channel, collection of resellers with a high density resellers around the globe, is representing 19% of our revenue, up 11%. The reason why we communicated that this time is to give you the new picture of how the split of revenue, where it is coming from after – post-merger of all our sales force with the IBM sales force, so I think it provides a baseline for you to think about how we are playing forward. Those channels are very, very – have very, very strong identity. On the PLM BT channel, it’s about direct customer engagement, large customer engagement, innovation on business transformation. The second one is really with very selective companies, which are satisfied resellers and we want to sell on value the PLM solution. And, of course, the third one, the Profession channel, is more for volume. If you look at from a geo standpoint, Americas still going well at 20%, Europe is with lower growth at 8% on the second quarter, 19% on the year. But you have notice that Europe was very strong last year, so the base effect is there; no specific concern for Europe on the full year. And Asia is up 21%, 25% on the full year. So good dynamic in Americas, healthy growth in Europe, and a very strong quarter in Asia thanks to China and India. On the V6 adoption, we continue to have a nice dynamic. As you know or you may know, all ENOVIA sales, new sales are mostly V6-based architecture. So we see an increase in deal size. We have launched a new 2012 V6 product portfolio few weeks ago, and we have also – we continue to introduce and we’ll continue to do that every year the V5 product family updates. This is very critical. Some of our customers are huge V5 customers. They want to make sure that there is an ongoing dynamic to continue to improve the V5 portfolio. It’s a wide portfolio. V5 today is extremely competitive as compared to all competitors. We win benchmark with V5. We don’t need necessary V6 to win. But the point is we are now synchronizing those two versions in such a way that interoperability, not only upward compatibility, but interoperability can happen. So this is highly, highly appreciated by customers, because it helps them to create new programs adopting V6, while existing program can continue on the current infrastructure. So that’s a key milestone this year I think, which will create an interesting V6 traction, because you don’t need to switch everything over. A few illustration of that; Cessna selected the V6 infrastructure, so this is much more than CATIA. It’s the entire collaborative environment for life cycle management with ENOVIA, with DELMIA for production, 3DVIA for 3D-based documentation and support and maintenance, and of course the front-end for product design with CATIA. The integration here is aimed at removing a lot of legacy PDM local solution. In average, I would say that every customers in the world that we serve, they have more than 10 legacy PDM home-grown systems in operation. None of them are the common infrastructure. So the fact that we can introduce V6 to really help them remove all this and simplify is a very, very high business value. Benetton Group selected V6, also the entire ENOVIA V6 portfolio. And the challenge is really global sourcing, global platform to support the product portfolio development. Eco-design becoming very, very key for apparel. There is a lot of impact on eco-design for this sector. In terms of how they source, how they – the processes for colors, for textile, fabrics are going to evolve. It’s very interesting. There is a global activity now to set-up new standards in terms of eco-design, which is shared by many of those manufacturers, and we want to embed those rules in the ENOVIA V6 environment. We are migrating multiple legacy PDM systems to ENOVIA V6. In the energy sector – construction sector, Skanska, an interesting group, and I have a video, which I think illustrates extremely well the new way to use PLM for construction management. (Video Presentation) - customer, it’s better to have them speaking. But the reality is, we have announced also the fact that we will focus more on construction infrastructure. Live Building was announced a few weeks ago. It’s the beginning of a new product family. We have internalized the digital project from the cooperation with great technology, as you may have seen. Now we are going to sell the solution, which is based on category 5 for the time-being and it’s going to be expanded to the V6 environment. So construction and infrastructure are very key market. And it’s a greenfield market, because the processes and technology there are ways behind what is done in manufacturing. So that’s why we took this example. EXALEAD, we are getting very, very interesting showcases on a very good dynamic. La Poste in France, they are really integrating the multiple CRM systems in one view, indexing all information system and using search-based application information intelligence. They have increased their telesales efficiency by 20%. We don’t want to sell toolkit. We are building application portfolio on top of EXALEAD to provide business solution for information intelligence. So a very good showcase. Dassault Aviation, for example, concrete example, spare part management and instant post-flight access. When a business jet is flying around the world, all the business jets are flying, there is a track record of all flying data. When the airplane lands, there is a real time analysis of all airplane data help information, to really assess what needs to be done, what will be the maintenance, how it will be planned, no matter where the plane is around the world. The indexing of this real time post-flight information is done online, and it’s now done with EXALEAD-based approach. We also have created for Dassault Aviation a spare part management system, which use the existing legacy environment. It’s an old system, but now provide a view which is real time view about where are the parts, the logistics when there is a new basically airplane support to be done anywhere around the world. So those are very efficient, high value, quick to develop applications. So we believe that the EXALEAD is really a platform, which is as critical for us for the future of PLM as geometry is for design and production. Not about a toolkit, again it’s about building the application to make this happen. So those are two examples. And we are going to price on the application; we’re not going to price on the documents. It’s going to be under application value. On the geographic diversification, high growth countries are delivering also good results; India, AP south; Greater China, including China, Hong Kong, Taiwan; Korea, and what we call Euro Growth. And you have the list here on Latin America with a lot of great effort on sales; in aerospace, automotive, construction, energy, on the – you see the brand names on these. So – and what we can notice here is that, Q2, the growth was above 25% excluding exchange rate and we have increased the portion of revenue coming from the high growth countries to about 14%, which is 2 points up compared to 2010. I was speaking and mentioning construction on geographic diversification. Shanghai Municipality Engineering Design Institute, this company be on the stock market probably would be one of the biggest engineering firm in the world, they’re still government owned. But we are signing with them a very interesting contract, and I’ll show you here a video, because I think it shows how far they can go with our solutions. They do highway construction, infrastructure. What you have on the screen here is the entire – this is three projects, this is at the time of project win. They can demonstrate to the city officials exactly how the construction will happen, what will be the construction process, how much resources it will take, how much it will impact the traffic inside the city. They can even do all the truck traffic management on the construction, and this is the real scenario of the real project which is being constructed in that real city. And the approach here is to be able to do a bid – fixed bid lump sum at the beginning having pre-planned everything, construction, having pre-planned all the process, all the impact. And the company like SMEDI, which is really a huge group, they are – I think they are involved 25 new cities, which does not exist yet, in China, with huge infrastructure. And they are going to use techniques which are very similar to the way we create airplanes in the world those days. So this sector in many, many of the Western countries is behind. It’s only growing base today. If you go and visit the construction sites even in London here, you would be shocked to see that those companies are still using growing system. There is almost no 3D. And there is no planning is timing chart but it’s not the construction scenario. So we think that this market is going to change in a big way, and we are providing PLM environment for civil engineering. We will be creating with them the standard for construction in China, and in fact we are really establishing a team there to make sure that this is customized along Chinese construction rules. Cloud, the goal is very simple, reducing cost of ownership, reducing – accelerating the time, the setup time, so how fast can you install or make provision in the software on the capabilities, and we believe cloud is game changer on that perspective. In terms of time to set up the project and in terms of skill necessary to set up the project, as well, of course, as the unit cost. So our approach is to expand our current on-premise solutions by using the V5, V6 online architecture to provide new type of services, to make PLM easier and accessible to customers, total cost of ownership should be reduced and easier adoption for SMB, small, medium-size. So we have a few products which are playing in that portfolio right now. Collaborative and social innovation with a product called SwYm, 3DSwYm, a way to set up a collaborative innovation platform online so people can share information and do collaboration. This will be the n! product family. We’ve n!Fuze for SolidWorks, and here is an example of how it works. (Video presentation) The approach is, of course, as you understand, to really take advantage of installed base we have and provide an extension that will be so easy for them to subscribe to a service, which is difficult to set their problems. Because when they have to do that themselves, they have to install a serve, there have to administrate, they have to put the network on, they have to do things which are quite complex to do. And, of course, this new category of products are also going to be available for V6, CATIA V6 users. And last, but not least, all common infrastructures on the common infrastructure is ENOVIA V6. We are launching the store, the 3DS store online to make sure that this can be acquired and provisioned online. We’re on a learning curve. We have still optimization to do. I think that in the next six months we’ll be – we’ll reach a point where it becomes really a great user experience. We do know today that it’s little bit still lucky, and it has to be cleaned up, but I think we think that the beta online is the best way to really make this a great user experience. Financial highlights, I will give the floor to Thibault to give you further detail.
Thibault de Tersant: Good morning. As Bernard said, what is the recipe to have a good quarter? It is to get all the business lines performing, and it’s almost the case for this Q2, and certainly the case for our brands and for our channels. As a result, as you can see, we got this 36% increase in new license revenue. We also have a 9% increase in recurring, which is not bad. It clearly means a very high level of renewal for all PLM licenses. I said almost, because the performance in services, of course, is a disappointment in second quarter. The revenue increase of 8% certainly fits with this view that we continue to have deployments of Version 6. And we have, however, a loss in our service operations in Q2. It’s coming from a couple of factors. On one side we have few pilots and services are contributing to these pilots, which are not always fully funded. And we also have some couple of loss-making service engagements and we’ve decided to take the full loss in this Q2. So I think I can now safely tell you that we’ll deliver a positive margin in second half with services, and that this service business is growing to become a profitable business. From an operating income evolution, fortunately services are on 9% of total revenue, so we are able to deliver, what I believe, a good margin in Q2 at 28%. At the face of it, it seems a small increment compared to the second quarter of last year. But we had the couple of one-time events, if you remember, in second quarter of last year, because we did in the second quarter the full catch-up for the modification in tax law in France, with the tax professional going into the tax line and was before in the expense line. So we had at least 40 basis points of one-time event in second quarter of 2010, just wanted to remind you of that fact. If you neutralize for that, we have 60 to 70 basis points improvement in this second quarter. And this in spite of, as I said, recognizing all the expenses associated with these service engagements. So from EPS standpoint, we have a 10% increase in EPS. The currency has, of course, a big role. If we hadn’t had currency headwinds in second quarter, the EPS growth for this quarter would have been 16%; just for your information. And then a chart I like, which is our cash flow chart; €148 million cash flow in second quarter is not bad. For finance person it means something. And this is due to, of course, the performance of our net income in second quarter, but also to the management of our receivables. And you will see that our DSO went down back to a more normal level at 76 days in second quarter, so this was also a factor in this good operating cash flow performance. We now have a cash position, net cash position of €973 million at the end of second quarter, in spite of having paid the dividend, many taxes, and have also bought back shares for €61 million, and €66 million of dividend. To this operating margin and cash flow performance what we are doing with solutions on the cloud is not going to create a significant impact on the contrary. Why? Because, for the cloud infrastructure, as Bernard mentioned, we have chosen a path of partnership with Amazon. We have other partnership. We also have one with Outscale, a smaller firm based in France, where we have taken a minority investment. So this is going to provide us with infrastructure which is required at least in the coming quarters, and there is not going to be a CapEx impact for that reason. I also have concerns that solution in the cloud could dilute our revenue growth, and I don’t think it is going to be the case for two reasons. First of all, as you have seen with this n!Fuze or SwYm services, these are increment to what we do today, so there is no cannibalization related to them. And in addition, there is something good about solutions on the cloud, which is that, not only are we selling our software, but also middleware and hardware in the subscription services. So it does represent, in fact, an increment over what we would otherwise make in terms of revenue with on-premise software. And so I think that over time this is going to be accretive to revenue growth actually. And finally, the store is certainly a direct way to interact with customers, but we want to continue to involve or evolve very much, and so they are linked to be associated to this store sale. So now, what about our objectives? It’s very simple really. What we do is we take the full over-performance of Q2 and we add it to our yearly objectives. So this means we are adding €25 million of revenue on our formerly published objectives, and we are now targeting €1.7 billion to €1.72 million as revenue range for the year. And we are also adding the $0.05 of over-performance in Q2 to EPS range, which now becomes €2.69 to €2.80. If we do that, and we do it, we are going to target revenue growth of 11% to 12% for the year, with the new license revenue growth which will exceed 15%, as always promised, and with an operating margin which is going to be above – slightly above 29%, particularly at the high-end of the guidance, which is always the one you look at. And an EPS growth at 8% to 12%, 12% at the high end of the range of the guidance, and it really means 15% without currency headwinds. By the way, we have for the second half assumed that we would be at $1.45 per €1 and ¥120 per €1. For third quarter, we are assuming a 5% to 7% revenue growth, a reported revenue of €405 million to €415 million, with an operating margin at slightly above 27% and an EPS at €0.60 to €0.65 and relatively flattish EPS. And I know that you are going to ask question about our second half guidance, and are we too concretive with third quarter. And I want to remind you that we had a peculiar third quarter last year. Generally, third quarter revenue is lower than second quarter, and this is stated to vacation in Europe and several other factors. But certainly this one is not the smallest. In 2010, third quarter revenue was higher by €25 million compared to second quarter. So it’s very unusual seasonality between second and third quarters. What we do actually this year is we say we go back to our normal seasonality of the third quarter; no less, no more than that. Third quarter is exactly back on our average seasonality at 23% of total revenue for – total new license revenue for the year. And if you look at the second half overall in this guidance, we have 52.5% of new license revenue in the second half. And this compares to a historic average of 53%. So I don’t want to deny that we are setting objectives that we strongly believe we’re going to achieve. But at the same time, I don’t want them to look completely conservative. It is, in fact, back to a relatively normal seasonality, and this is how they have been developed from the beginning. I think that now with Bernard we are going to take your questions.
Unidentified Analyst: Maybe first for Thibault. Clearly your end markets are in pretty good health. When you gave the outlook at the beginning of the year, you were perhaps accused of not being optimistic enough, and yet you’ve still sort of exceeded your outlook over the first two quarters here. What do you as you look at the second half? And obviously we are aware of the comparison in Q3. But in terms of how the pipeline is building, what’s the sort of state of the pipe, the close rates and what have you built-in for that for the second half?
Thibault de Tersant: Well, actually there is no doubt we have a healthy pipe, as we speak today. I don’t believe we have seen a healthier pipe actually in former years. It’s at a very good level. However, pipe is a pipe, and closing the pipe remains what is essential. And this is where the economic environment remains uncertain, and customers can change mood and decision relatively quickly. So we don’t want to do a guidance that we’ll have to change, and that’s really what we have in mind when we do it. The other point that I forgot to mention, explaining the second half guidance is that there is another element that you need to bear in mind, which is that in 2010 we had one-time recoveries of maintenance, which were quite substantial. And were one-time because customers were paying all the catch-up of the maintenance they had not paid, when – because of the 2009 crises they had stopped the maintenance agreements. So these were one-time element, part of the recurring and we have a very high level of renewal of maintenance agreements now. But these one-times, of course, are not going to happen in 2011. That’s the second element. Because most of these catch-ups were in the second half of 2010, so that’s the second element to bear in mind before accusing us of over-conservatism.
Unidentified Analyst: One for Bernard, just on V6 and ENOVIA. Clearly the performance in Q2 was very strong. Can you just elaborate was it still again the growth in the newer verticals as opposed to the traditional verticals? And then as you look at V6 and Release 12, when do you start to see the impact of that starting to come through? Is it second half 2012 or could we see that before then?
Bernard Charles: I think the ENOVIA dynamic is very strong in multiple sectors. Of course, each of the sectors do not have the same size. The interesting thing about the ENOVIA V6 is that initially it was perceived on the market as the backbone of V6 application, which is the case, the collaborative platform for V6 application, whether its CATIA or manufacturing of DELMIA, et cetera. When we look at the wins we have now, it’s much more than that. I think customers, whether it’s in life science and in power resourcing, are using or discovering that the platform goes far beyond supporting our traditional applications. To be concrete and to give example, we think today we are probably the best solution for sourcing or supply management, for project management the best solution available on the market. And so this is an expansion of the ENOVIA portfolio itself as opposed to ENOVIA being infrastructure to do difficult markup or to do process planning for manufacturing, for discrete manufacturing. So that’s an interesting traction, because then for us it’s a way to not only diversify, that’s clear, but it’s a way to expand the footprint within our customer base in terms of type of users having access to such kind of system. And when you connect this to the information intelligence environment with EXALEAD, I think you will get something which is a high differentiator. And I believe this is – we are at the beginning of a new dynamic to really redefine. How flexible on the price organization can be linked to product lifecycle management. More to see, more to do, but we selected the video deliver scene today on purpose to explain that it’s not just the backend of something. It provides new possibilities that have not been already available on the market yet. My (inaudible) is very keen. So that’s one explanation for the new license. It takes time, but I think we are on a good track. Yeah, the effect – we are now on a very stabilized Cadence with the entire V6 family. As you know, V6 architecture is a unified architecture for almost everything we do in Dassault Systèmes now. Even as you have noticed today, the V6 online backbone is common of SolidWorks users. It’s the first time all brands in Dassault Systèmes are using one common organic architecture; call organic architecture because we can compose its dynamic online and work on-premise. So the Cadence are doing two releases a year every year of the V6 environment is well understood by customers. So they take this as an opportunity to get the updates they need to have for new capabilities and the V6 customers now are setting up an organizational process to digest those updates or those products evolution on a regular basis. So it’s not a one shot; it’s a plan where customers are planning, for example. They know today what is the content of what we will be delivering end of 2012 or 2015. Those companies are big players, big companies, they need to plan. So this is very stabilized and I think the V6 roll-out process is now as stabilized as decided. Very different from most of the competitors, very precise Cadence so customers can plan multiyear progression.
Unidentified Analyst: Yeah, thanks. A couple for me. In terms of the SolidWorks performance, there is very good unit growth again, but the revenues didn’t flow through. I see the pricing is down a couple of percent in the slides in the back. Can you talk a bit about that and whether it will accelerate in the second half? And then the – in terms of that triangle you put at the beginning on the sales split is very useful. Can you say something about the how the IBM joiners are performing if you like, and when we should see the operating leverages that sort of sales throughput improves? Thanks.
Bernard Charles: Maybe I will start with the last question, and then give the floor to Thibault. On the – what we said since April 1, 2010, is we said that the way we are integrating the IBM professionals inside Dassault Systèmes has been done simultaneously with the new allocation of customers to the sales force. So we have Team A, Team B; we create a one team, A plus B, and we reallocated responsibilities of the client exec territory for our direct sales. That’s why it was very difficult even in last quarter to remap to the previous business model. This has been extremely successful for us, because it has created a positive dynamic from a motivation standpoint for the people. We have been able to leverage our best competencies. Now we know that the first priority was to have the team working together on obviously allocation of customer responsibilities, that’s done. I think – we believe with Thibault that we can leverage the revenue per sales person. I think the revenue will go up and we have now to leverage the efficiency on the quality of operation. So this is still ahead of us. And it’s very, very interesting program by itself, because I think it’s a way to reach more customer and provide more value for each of them. But it’s in front of us, we are not done. It’s about new training, selling on value, promoting the solution as opposed to each of the brands, so there are few things we need to continue to transform. But I think that will be an interesting perspective for 2012 and 2013. And customers are asking that. Now we engage with them and we are adding multiple contracts, multiple brands, IBM one side, partners and us. Now it’s one contract, so all this work is done I think almost for all large customers around the globe. I think the last one were last quarter, if I recall well. So the framework is easier for us to engage forward. Still in front of us, don’t expect this being done yet; it’s not done. We can improve significantly I think. Related to SolidWorks, Thibault, you want to cover the topic?
Thibault de Tersant: Yeah. SolidWorks, as you mentioned, good unit growth. I think it works 22%. The price evolution was just 2%, so the revenue growth on new license was 20% for SolidWorks. The recurring was – actually there is a little bit of a currency impact on the recurring, which is difficult to capture in very consistent methodology. There is a little bit of pattern of the deferred revenue, which is difficult to capture. So because the renewal rate for SolidWorks is relatively stable, so the recurring revenue continues to build up in reality and will continue to build up with increase in the installed base. So we should see in the coming quarters continued growth in the recurring revenue growth for SolidWorks.
Unidentified Analyst: So will it accelerate in the second half you think?
Thibault de Tersant: Sorry?
Unidentified Analyst: Will it accelerate a little in the second half?
Thibault de Tersant: That’s the point. Yes, it will slightly accelerate in the second half for SolidWorks.
Unidentified Analyst: And then just finally on Japan, I mean, you obviously were quite prudent going into the quarter. What was the outcome there, because it still seems to be quite high as a percentage of revenues?
Thibault de Tersant: Well, for Japan – actually for Japan, we are more or less in the status, the situation that we had announced at a beginning – well, at the end of first quarter. Part of the business continues to have an impact coming from the earthquake, but it’s really very localized. And what we do in the other parts of the business are actually – is actually doing well. So we have some impact in automotive in Japan due to certain circumstances, and with a few customers, like in E&E, because of the location. But outside of that, the business is in fact healthy. So the impact is causing a little bit less than the one we had announced, but nothing really – no big change to mention.
Bernard Charles: And we have the other question –
François-José Bordonado: Take one question from the webcast please?
Unidentified Analyst: Just wanted to focus in, first of all, on the recurring revenue growth. So it’s obviously being impacted this year by the catch-ups from last year. Could you give us a feel of what the kind of normalized level would be for this year? And then maybe give us a feel for what that might be on a go-forward basis, because obviously we’re going to have a better license contribution this year to help us as we go through over the few quarters, because to some extent new license growth is being hidden by the slower recurring growth this year for that factor. And then secondly, as we look maybe a little bit more medium term, we’re not going to be far off the margin guidance that you gave in the kind of mid-term plan a few years ago. When you think about the balance between top line growth and margin improvements over the next three years, let’s say, the 15% license growth that we’ve targeted this year, should that be seen as a kind of maximum velocity of the company on new license growth or with a mix – the change in mix towards more emerging markets, a broader product set, new industries, isn’t it more than that possible? And again, I’d kind of to tie that back in with the recurring revenue growth on a more normalized basis to help us understand the mix of growth drivers going forward. Thanks.
Thibault de Tersant: Okay. So on the recurring side, second quarter was not very severely impacted, because, if I remember well, in the second quarter of 2010 we only had €5 million of one-time recoveries. So the 9% growth we see in the recurring in second quarter, without this impact of the one-time recoveries, would have become 10.5%. And I believe this is organically the trend we should see in the second half of 11%. But we are not going to get to 11%, because the one-time recoveries were more important in the second half of 2010. And starting from this 11%, there is room for further improvement, because actually mathematically over time the recurring growth joins the new license growth. It takes a few years, but it does. So if we continue to have this dynamic of at least 15% new license growth, you will see the recurring continuing to strengthen progressively. It’s going to be helped also by Version 6, where the combination of the upgrade to Version 6 and the better rate of maintenance on Version 6 is also going to be helpful. So there is room to accelerate growth in recurring revenue very clearly. Concerning the 15%, well, that’s a mid-term (inaudible) something we believe is very doable, but certainly we run at risk of doing better.
François-José Bordonado: We’ll take questions from the webcast, please. Operator?
Operator: Thank you. We will take a question now from Joseph Vaar from Exane BNP. Vaar your line is open if you wish to go ahead with your question. Unfortunately Vaar has stepped away from the phone. We’ll move to Marc Geall from Deutsche Bank. Please go ahead.
Marc Geall – Deutsche Bank AG: Hi. Good morning, everyone. Thanks for taking my question. Hopefully you can hear me, it’s a little bit – bit of a bad line at our end. Thibault, just one point of clarification, if I could. In my model, I had the one-off maintenance catch-up as 12, 12 and 11 for the second, third and fourth quarter. Could you confirm what you have it as? Secondly, on professional service side, are you able to quantify the size of the write-offs that you had taken and which areas of the product they’re related to? And more sort of fundamentally, I’m interested in what the attachment rate is as you go forward on professional services, particularly on ENOVIA. I want to understand how that could evolve over time, especially as you start thinking about leveraging more of your cloud infrastructure to probably try and reduce that attach rate and reduce that cost of ownership and implementation capability.
Thibault de Tersant: Right. On the one-time, Marc, the gain – the second quarter was at €5 million, and then we have third and fourth quarter between €10 million and €12 million each. Concerning the – you mentioned the write-offs. You mean in services or – I’m not sure in services.
Marc Geall – Deutsche Bank AG: Yeah, the services, you talk about the negative margin in professional services due to some project write-offs. Just wanted to understand what they’re related to and maybe the size.
Thibault de Tersant: So actually what we have in this, we have a few pilots, where customers don’t fully pay for pilots. But we tend to get them to pay fully, but it’s not always exactly fully, and so this has an influence on the margin. And I mentioned that we had a couple of service engagements at fixed prices, and where we did just a wrong estimate of the price. I cannot say – I cannot know how to say that in a nicer manner. These service engagements are about integration services, so they are not related to repairing products that we would have delivered to these customers, but rather to completing the integration to the enterprise environment. And this is not truly our core of business. So, again, couple of mistakes in pricing have been done. And we took the full problem in Q2 not to continue to drive it, and by the way when we get to know it, it’s also, of course, the normal accounting standard to do it. So that’s the reason why (inaudible) that we don’t have any more bad pricing. In all our service engagement we did the full review of them, and so we know should go back to more normal margins for services going forward.
Marc Geall – Deutsche Bank AG: And in terms of the sort of maybe the change in mix or the change in attachment rates, as you sort of push out ENOVIA, I mean, is it meaningfully different to historical sort of (inaudible) implementations? Does it require more professional services or are you at a point where you have enough sort of packaged functionality in ENOVIA to be able to reduce the customization and implementation cost?
Thibault de Tersant: Right. Actually the more we go and deploy Version 6, I think the more we are also going to rely upon system integrators, and this is very much what we want to do. And have our service organization becoming help to consulting organization for the system integrators, that’s I think the path in front of us. Rather than continuing to do system integration ourselves. So on that same point, yes, we can continue to grow services, but I don’t believe we are going to dramatically change the mix in our P&L between services and software.
Marc Geall – Deutsche Bank AG: So one assumes the margin profile would improve accordingly?
Thibault de Tersant: I couldn’t hear your question, Marc, I’m sorry.
Marc Geall – Deutsche Bank AG: So if it becomes more consulting lead and that your advising asides, then one assumes that, one, the risk is less, but also the profitability should be more.
Thibault de Tersant: Absolutely, because we will have more high-end resources in order to do this support to system integrators. And we will also much – we will also be less held to lump sum pricing agreements.
Marc Geall – Deutsche Bank AG: Okay. Thank you.
Operator: Thank you.
François-José Bordonado: We’ll take one more question from the webcast, and we’ll be back to the room.
Operator: Thank you. We have a question now from Sébastien Thévoux from Oddo. Go ahead.
Sébastien Thévoux-Chabuel – Oddo & Cie SCA: Hi there. Talking about the services, I remember that, Thibault, you mentioned a few years back that a normalized level for gross margins in services would be at least 20%, and potentially up to 25%. And given the evolution of the last two or three years, I was wondering if anything would have changed that. And if not, should we expect that kind of level of gross margin in services to be reached by, let’s say, the end of 2012, please?
Thibault de Tersant: Well, for sure, if there is a lesson that we’ve learned, it’s the lesson to become a little bit more humble in our services forecast, and also not to talk too much about long-term margin expectations. But, however, from a theoretical standpoint, I maintain that 20% gross margin for services is still achievable, even in this market, which is more competitive for services it is still very much achievable. A stretch would be 25%, but 20% is very achievable, so I maintain that this is what we need to reach. And I will stop here.
Sébastien Thévoux-Chabuel – Oddo & Cie SCA: I understand. And maybe a last one for Bernard. You mentioned that you want to sell EXALEAD as apps instead of technology, which I think makes a lot of sense. Do you have any figure on the top of your mind of how many applications will be offered and run on EXALEAD infrastructure by the end of next year, for instance? Should we expect like 20 specific applications or could it be much lower or much higher?
Bernard Charles: The approach we have with EXALEAD is to really build the portfolio by industries. For example, we – I just spoke about what we have done for spare part for aerospace. When you have this kind of application, it’s – it can be reduced. So we do it by industries. In fact, we are capitalizing it by industries. The number you mentioned is minimum number. We believe we can do a nice portfolio rather quickly, and we believe that if we have this portfolio of apps ready to be used by customers, it gives them a fast track adoption of the tools for their own businesses. It’s too early to really speak about that portfolio in terms of sizing right now, even in terms of value. I think around the year end we’ll be able to have more visibility. But the dynamic is very good on – in each of the industries, as a matter of fact. You have seen in the example we took, we took on aerospace to La Poste, which is basically CRM convergence. So the number of possibilities are significant and we need really to select the one which creates most value for customers, and that’s the process we are doing right now. So too early, but more to come around year end probably for the full year. We have to keep in mind that EXALEAD we acquired the company last June, June a year ago. So we did the new pricing, new packaging, new approach for customer engagement, all this has been done in one year, so I think the dynamic is quite positive there.
Sébastien Thévoux-Chabuel – Oddo & Cie SCA: Thank you.
Unidentified Analyst: It’s (inaudible) from HAO Capital. I just had a quick questions on ENOVIA. Do you – how important do you think the increased interoperability is for ENOVIA that’s releasing now. Do you think a lot of clients have been waiting for that to take their ENOVIA decisions? Thanks.